Operator: Good morning, ladies and gentlemen and welcome to the audio conference call that will reveal Embraer’s Second Quarter, 2011 Results. Thank you for standing by. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instruction to participate will be given at time. (Operator Instructions) As a reminder, this conference is being recorded and webcasted as www.embraer.com. This conference call includes forward-looking statements or statements about events or circumstances which have not occurred. Embraer has based these forward looking statements largely on its current expectations and projections about future events and financial trends affecting the business and its future financial performance. These forward-looking statements are subject to risks, uncertainties and assumptions including among other things, general economic, political and business conditions in Brazil and in other markets where the company is present. The words; belief, may, will, estimates, continues, anticipates, intends, expects and similar words are intended to identify forward-looking statements. Embraer undertakes no obligations to update publicly or revise any forward-looking statements, because of new information, future events or other factors. In light of these risks and uncertainties, the forward-looking events and circumstances discussed on this conference call might not occur. The company’s actual results could defer substantially from those anticipated in the forward-looking statements. Participants on today’s conference call are Mr. Frederico Curado, President and CEO, Mr. Paulo Penido, Chief Financial Officer; Mr. André Gaia, Head of IR; and Mr. Rodrigo Rosa (ph), Controller. I would now like to turn the conference over to Mr. Curado. Please sir, go ahead.
Frederico Fleury Curado: Good morning, everyone. I will – I think the opportunity to introduce Paulo Penido to most of you who have not had a chance to meet him personally. He will be going to United States soon to visit with you. And now, I ask Paulo to just to go through our highlights and as soon as we finish that, of course, we’re going open the Q&A answer session and we’ll be here together to answer your questions. Thank you.
Paulo Penido Pinto Marques: Thank you. Good morning everybody. It’s a pleasure to be with you for the first time. I’m quite excited with my new challenging position here in Embraer. I’d like to go through this 18-page introduction, starting on page three please, where we show the commercial jets, I’d say, recent highlights. First, market demand is – it’s happening it’s there. At the Paris Air Show, we did four new deals. One was a company from Indonesia and other one from company – was a company from Kenya and two others was companies from the U.S. In the first half of 2011, we delivered 45 jets and we sold 62 E-jets and we have reached 1,003 firms orders, which is a remarkable level. In additional, there were 42 additional aircraft pending final documentation, totaling 104 in the first half of 2011. We continue to expand our client base. We have three new airlines added, one from Austria, one from Kazakhstan and one from Bulgaria Air. On page four please, I’m talking about executive jets. We signed a strategic corporation agreement with Minsheng in China and it may turn into exactly 20 executive sales – 20 executive jets we expected. In EBACE, we were able to see the first signs of recovery in this part of the industry and we got some – few orders, a new few orders and just to hedge (ph) we have delivered our Phenom number 200 to Swift Aviation Group. On page five talking about defense and security, we have sold eight Super Tucanos to the Indonesian Air force and we continue to develop our KC-390. And currently, we have just defined the most of the strategic partnership suppliers and we are now entering in the joint definition phase of the product. On page six we are showing revenue by segment. We had, let’s say, meaningful growth in revenues when comparing the first quarter of 2011 to the second quarter of 2011. And I’d say somewhat stable breakdown of revenues and settlement. Now on page seven. In the second quarter of 2011, we have sold or we delivered 24 commercial jets, three executive large jets and 220 executive light jets quite in line with our, I would say budget, our expected levels. Page eight. It’s a firm order backlog, again stable. A small reduction, but, its normal there is fluctuation. Now on page nine, talking about revenues and gross margin, I would like to highlight the better margins that we are presenting in 2011 and the gross revenues that I already mentioned. So we are now facing 23% average margin in our business according to the high IFRS, I would say, way to account it. In terms of SG&A, somewhat stable when comparing in local currency in Brazil with some growth, in U.S. dollars it’s a result of the challenge of the appreciation of the local currency. The company is working hard to control its cost and to face this challenge and with some, I would say, meaningful success. On page 11, income from operations, as you can see growing income reaching $106 million in the second quarter of 2011. Now EBITDA, I would say quite stable in the first two quarters of the year that’s the message. But visual that the graphs on page 12 showing the EBITDA. Now moving just to continue to provide a view of the performance of the company net income, a little bit smaller due to some, I would say, tax payments, which is normal again. So I would say stable, it was in the expected range for the company. In terms of inventories, a little bit higher than expected. This situation is normalizing. And the free cash flow that was negative in the first two quarters of the year tends to become positive already in the third quarter and finish the year at the positive level. On page 15, the indebtedness, I would say, no views on it. The company still has a sound position, net cash position of US$400 million, which is a quite strong situation. The total cash at the end of the second quarter amounted $2.1 billion. Now, some good news in terms of guidance. The company is revising its outlook. So net revenues, we are now increasing from $5.6 billion to $5.8 billion, it’s a 4% increase. In terms of EBIT, from $420 million to $465 million, an 11% increase. And in terms of EBITDA, from $610 million to $700 million, a 15% increase meaningful, I would say new change on these figures. Again, just finishing the outlook revision, our research and CapEx, I would say expected expenditures are preserved and maintained and we do see the development expense from 210 to $160 million due to some agreements that we made with some partners, where we were able to reduce it and preserve the development, I would say, work that we do all the time of the here. That is the introduction that we are planning to do. We are now ready for the Q&A section. Thank you.
Operator: Thank you, ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Mr. Noah Poponak from Goldman Sachs.
Noah Poponak – Goldman Sachs: Hi, good morning, everybody.
Frederico Fleury Curado: Good morning.
Noah Poponak – Goldman Sachs: As we look into the second half, can you speak to the degree to which you think your regional jet order activity can keep up with the pace that you had in the first half? Do you think you can match with what you did in the first half?
Frederico Fleury Curado: It’s always, as you know, it’s always tough talked about ongoing sales. What I think I can say is that we have, in the pipeline, the volume of dues that we are engaged and in discussions. Of course that will depend on how success we are, but at least the volume of airplanes involved in what we are – we have been – what we are discussing at this stage would, yes, we’d more or less keep up the pace of the first semester. This thing is kind of final zero or one, right, kind of a digital. Either we win or we will not win. But we have not seen a reduction of the traction of this market recovery that we have seen in the first half.
Noah Poponak – Goldman Sachs: Okay. And that’s very good. Any much larger than average single campaigns you are working or is it more just a lot of small to medium size?
Frederico Fleury Curado: Well, there is at least one I think we can comment about, because it’s public, which is Delta Airlines. That may become a large order. But again, it’s – the winner-takes-all sort of campaign. But we also have options, I mean, being discussed to be converted into firm. But, at least this one large campaign it’s out there.
Noah Poponak – Goldman Sachs: Okay. So as we look out beyond 2011 into the next year or two, it would seem clear that RJ production has to increase. Can you help give us a sense of the boundaries that you’re looking at in terms of how much higher RJ production needs to go next year?
Frederico Fleury Curado: No. I mean, we do not have a clear vision yet and I’d just – I’m afraid to give any guidance at this stage, because if I give you some boundaries, fundamentally I’d be giving guidance as far as revenue on that segment for the next year. But, let me say this, the likelihood that we’re going to have some increase. I do not expect any huge increase it will be something more like just an organic increase of our production rates. But, the likelihood that happens is very high at this stage. So, maybe in the next earnings call, maybe we can be more assertive than we are now. It will depend – in some of the campaigns which are going on we do have some 2,000 positions on top of what we already have and which may move this line little bit more towards south as far as the growth. But the chance of that that we’re going to have more aircraft than this year is very high.
Noah Poponak – Goldman Sachs: Okay. Okay. And then, I’ll ask one more in the defense segment. The press release talks about some opportunities that are hitting now, that are helping you there. Can you just elaborate on what those are? And then, can you also remind us about the opportunities that you have around the country’s Homeland Security efforts ahead of the World Cup and the Olympics? And specify how big those can be and the timing in which they can become real?
Frederico Fleury Curado: Well, there is – at this stage, I think what we have done is really to think as we diversify our focus around, let say, the Air Force and from flying systems and flying objects to something which is also applicable to Navy, Army and Security Forces, Homeland Securities and stuff. The addition of the two new companies that we have taken the stake holding, OrbiSat because of radars and Atech. They kind of complement our capability and they broadened the scope of potential participation in Embraer and other programs. The Brazilian government budget is somewhat under constraint since the early part of this year. So some large contracts which are expected to happen. Again, there are some questions whether or not they’re going to be launch this year or next year, we just has to make sure one of them, DFX (ph) of course, is a fighter program. But, there are others. There are such as the monitoring as frontiers of Brazil. There is also monitoring of the, we call the blue Amazon, which is the offshore platform where we have all the pre-stocking stuff. So there are some major programs where traditionally we would not be let’s say, a natural player that I think we are now, we are players. So, we are evaluating how we can put together an architecture that’s allows us to take a prime role in those new contracts. But again, they all subject to the Brazilian budgetary system. Having the two events, two major events coming up in the few years, gives us some hope, let’s say hopefully some certainty that there will be procurements out there beyond the scope of what we have traditional participated or beyond the Air Force, where we certainly going to fight very hard to take a prime role or at least take a major role in satisfying those requirements. So it’s more kind of potential let’s say, capture of new customers and new contracts then something we know that’s – it’s very, very short term. It’s fundamentally depends on how the Brazilian budgetary provisions will develop in the next six, 12 to 18 months. So far in this year that’s been a constraint, a judicial constraint with the budget, maybe with the extra revenues that – extra tax revenue that this government has had in the first half, maybe there will be a little bit more easing of that in the second half, but that we do not know. That’s a very sophisticated and complex political decision.
Noah Poponak – Goldman Sachs: Okay. Thanks for taking my questions and it’s really an excellent quarter, so congratulations on that.
Frederico Fleury Curado: Thank you, Noah.
Operator: Excuse me. Our next question comes from Mr. Ron Epstein from Bank of America.
Ron Epstein – Bank of America: Yeah, good morning.
Frederico Fleury Curado: Good morning Ron.
Ron Epstein – Bank of America: I just going to ask the question I think that’s on everybody’s mind. So, what’s next in terms of the next commercial airplane? What options does Embraer have in front of it given now that Boeing’s made their move, Airbus has made their move and Bombardier has made their move?
Frederico Fleury Curado: Yeah. We are focusing beyond what we are – first obviously is to keep the leadership and where we are and this is obvious. But, we are narrowing our analysis to the next adjacent segment which the segment that you can characterize today as where 319, the 737, 700 and the Bombardier CSeries are today. So that’s what we will are analyzing. We are not analyzing the head-to-head 320 or 737, 800 airplane. But, between the E-Jets and those two, let’s say, central-line airplanes, we are evaluating what is the size of the market and what are our chances with the new aircraft or with a revamped aircraft based on the 195 to capture some market share that could justify investments in there. Taking into account that the 319 will be re-engined and we do not have clarity, Ron, at this stage whether or not the 700 will be re-engined or not but we are assuming it will. And, fundamentally, I don’t think there will be much of a difference in our decision at this stage. So, either we are able to bring something which has compelling this over the current offers there or of course it would not make any sense for us to try to invest and get it there. And as I said, I think the two ways to get there. One is, to develop a new family probably a two-member family of airplanes. The order would not to do that, and but try to stretch and re-wing and re-engine the 195 with a single offer. And obviously, with pros and cons, we’re going to weight the two options and I sincerely, we do not have any rating on whether one or the other is more likely to happen. But fundamentally, the lower investments, lower potential capture of market share versus a higher investment, and clean sheet of paper and fully optimized and potentially larger aircraft if you opt for a new one but with a higher investment. So, that’s the tradeoff that we have to get to or to put into paper and make a decision. And having said all that, I do anticipate that before year ends, we will make decisions on if and how we’re going to address that next segment to the Egypt. If and just one final comments just to complete my answer is that, if we decide to go with new airplanes, they will have commonality like this E-Jet. So the preserving our customer base and not only preserving, but giving our customer base a potential upgrade of flow natural flow into the future, is absolutely number one priority for exciting customers. And the E-Jets will be around for long time. The E-Jets 10 years from now will not be the same as they are today. But, there will be a new jet there. And I’ll tell you whatever we do in those going to be for the benefit of our existing customer base.
Ron Epstein – Bank of America: Great and thank you for that answer. And then maybe just smaller detail. With production rates going up kind of across the industry now, we’ve heard from a lot of the commercial aerospace suppliers that their original equipment businesses are up 20, 30%. How’s your supply chain doing? Are there any areas of the supply that you are worried about or not? Does seem to be okay, if you can discuss that?
Frederico Fleury Curado: Ron, our potential increase in our production rate is, I would say, it’s relatively thin as compared to what we have seen in the narrow-body – sorry, in larger narrow-body air programs. So, no bottlenecks in sight. Very clear communication as always. There is a concern obviously with the suppliers in Brazil, not because of bottlenecks or anything like that or because of cost. So, as we have – we are fully hedged that’s why we are having contracts in the U.S. dollars. The depression that we are feeling in our costs this is also valid for our suppliers in Brazil. So just to mention – just to give you 100% complete answer. Other than that and again that we do not foresee any negative consequences either. We would have relatively – it would be relatively easy to absorb and has we have done already a few times absorb current outsourced work back into this factory. As everybody knows, we do have some available capacity. And so, the answer is we are pretty okay. I mean, we are pretty comfortable about what we need to do and having our supply chain on board with us with no foreseeable difficulty.
Ron Epstein – Bank of America: Okay. And then, maybe just one more with the change in rules in terms I guess FX, hedging and derivatives, right, and I guess were just announced about two days ago. As an exporter, how does that impact you or not, with tax on any FX hedges impact you guys or not for clarity, I think a lot folks don’t understand the difference between foreign exporter or for a domestic producer?
Frederico Fleury Curado: Ron, it’s – the measures they were pretty complex and to-date nobody has come up with a clear diagnosis of what implications are. So, it’s and well for us, if it does result into a valuation or devaluation of the real, that’s great news. Well, and as we have no derivatives in our portfolio, in our financial portfolio, there is no downside whatsoever for us in that aspect. So – but I think the real question is whether or not the measures will be effective to stop this continuous strengthening of the real of the real vis-à-vis U.S. dollar. I think, my personal view on this thing as a Brazilian, we – I think until the point that Brazil really addresses that issue with a combination of monitory policy and fiscal policy. Today, we have basically been playing on the monitory policy. I don’t see a major change in the trends of the strengthening of the real. I think without a meaningful, without a real a real I’d say diet on the Brazilian government side. I mean the central bank in the Minister of Economy; they will keep trying to support the Brazilian exporters as trying to act in the market preserving the some rational exchange rate. But, I think the fundaments that are depressing the U.S. dollar in Brazil, they are overvaluing the real in Brazil, they are still there. Government has a large debt, it has to refinance that’s it and for that has very high interest rate. There is a huge arbitration potential for investors. Money keeps flowing into the country. That is very, very strong – that’s a very strong, let’s say driver to be let’s say offset by prudential measures such as this one. But, this is again; this is a very generic view. And how does that impact us. Again, if it’s successful, great. If it is not, its life as usual and we are, we’re not counting on any measure miracle reverse on deduction rate. We’re working very hard to offset that with all the classical tools, productivity, quality, lead time reduction, reduction in inventory etcetera, etcetera, etcetera. So, any headwinds, any tailwinds, that we get it’s a great new. But let’s see. As I said, complex. Maybe, I’m just too conservative a bit, it will bring the dollar up. If it does, great. If it does not, we are prepared for that already.
Ron Epstein – Bank of America: Okay, great. And again, nice quarter. Thanks.
Frederico Fleury Curado: Thank you, Ron.
Operator: Excuse me. Our next question comes from Mr. Pete Skibitski (ph) from SunTrust.
Peter Skibitski from SunTrust: Hi, with SunTrust. Good morning.
Frederico Fleury Curado: Good morning.
Peter Skibitski from SunTrust: I might have missed this. But can you give us some color on what drove the sales guidance increase?
Frederico Fleury Curado: Actually, we did not give any color other than the number. But, it’s probably still going to be driven by commercial jets and combination of defense and services. So, the one business that we do not see at this a net failure (ph) as far as revenues is the business jets. We still believe that we’ll be to achieve our guidance and, but, we do have a few challenges there. So, getting all together, we feel relatively comfortable, we feel very comfortable about this $200 million was extra in our revenues.
Peter Skibitski from SunTrust: Okay. So, you still had 100 Phenoms for the year?
Frederico Fleury Curado: Yes. And 18 lineage and legacy.
Peter Skibitski from SunTrust: Okay, okay. And then you touched on this, but just wonder if you could elaborate a little bit in terms of how much more productivity gains are left available to you to help offset the strength in the real. And sort of combined with that your guidance, it seems to imply some gross margin pressure in the second half of the year? I’m just wondering what’s driving that if it’s the real or something else.
Frederico Fleury Curado: As a matter of fact, it’s not a pressure. As you may or may not recall, we have in the first quarter of this year had an extraordinary high gross margin. We had some events, and some specific non-recurring items that pushed our gross margin in first quarter beyond let’s say, there’s a normal average. So, we project a relatively stable second half, which will translate into a slightly lower EBIT than the first half. That’s why we have adopted this 8% or something, which we believe we will be able to achieve.
Peter Skibitski from SunTrust: Okay, thank you very much.
Frederico Fleury Curado: Thank you.
Operator: Excuse me. Our next question comes from Mr. Nicolai Sebrell from Morgan Stanley.
Nicolai Sebrell – Morgan Stanley: Good morning gentlemen. I was wondering, first, if you could talk about whether the changing guidance results in any upward pressure to the delivery schedule. I apologize if you did mention that, but I missed it. And then, second, a little bit more about the executive jet business. Of course, prices still appear to be very weak in the used jet market. What impact is that having on your backlog? How healthy really do you think your backlog is because what we’ve seen or what we have heard is that – maybe there are lot of guys who instead of canceling orders, they are just delaying? And I would guess it’s some of the reason that the production numbers are down this year from last. And then, if I could ask a second question, which is the upward margin revision that you made at the guidance. Does that also indicate maybe greater long-term margin potential? I know in the past you’ve discussed a goal – correct me, if I’m wrong, but a goal of like 10% plus operating margin over the long-term. Is that still do you think a reasonable goal? What’s the outlook there?
Frederico Fleury Curado: Okay, Nicolai. The business jets – the other side on the revenues, we expect to come from a blend of the fast airline – aircraft I think airline – airliners and services, but not from business jets which take this to the question of where we are? We have seen for the first time in the long time, there is a pickup in the activity, in the commercial activity. So the level of consultation of a proposals and discussions and also I would say orders starting to pick up not to appoint to yet should be meaningful as far as with company backlog. But definitely the direction of this is a positive direction. So there is some tractions back into the market and so I think we can for the first time in long period, be a little bit more optimistic about the potential business reps going forward. The Phenom 300 has tracted a lot of interest, the Legacy 650 is getting traction as a whole, and even the Lineage, which is a more of a niche product is also getting some importance in those proposals or interests, which I think makes us to be a little bit more optimistic about that.
Nicolai Sebrell – Morgan Stanley: And then – sorry to interrupt. But that does lead into the question of the 450 and 500. When those get released, do you think that changes your business meaningfully? Do you think you could grab – acquire more market share than what we’ve seen in the recent past?
Frederico Fleury Curado: Yeah, definitely we today – we play in the Legacy 650 segments, which is a super midsize segment, we play with a Lineage as I said in kind of the niche segment a high end and a high value aircraft but the quantities are really more like a typical business typical BBJ or that’s sort of market and at the entry levels with Phenom and Phenom 300 plane in the small cabin size, so we have a huge gap between the Phenom and the 650. The 500 and 450 and we are still on for flying the first product 500 before year ends, this is the target. So as always may development program, there are challenges, there are difficulties et cetera, et cetera, but our vision today is to fly the airplane before year end. And so, when we have those programs in let’s say in full deployment, I mean the potential of the business is I mean, could be easily to double the size of what we have. We are coming to a market where we are not today. So we are adding two new products to our portfolio with a potential to capture a significant market share in that let’s say midsize cabin or even almost like super midsize in the case of 500. Yes, I have material positive impact to our business. To your second question about, is that okay, Nicolai?
Nicolai Sebrell – Morgan Stanley: Yes perfect. Thank you.
Frederico Fleury Curado: Okay. On your second question about long-term margins. Yes, I think we except on the first quarter where we did have some nonrecurring positive events that boosted the gross margin efforts. And we are feeling more and more comfortable that we are I mean and definitely we are on the right track in terms of productivity and increasing our margins, relentless work in terms of streamlining and improving quality et cetera, et cetera, P3 is very alive inside the company. With the many markets, there are pricing pressures of course, but we are trying to keep it under and so far have been able to manage those pricing pressures quite well. So we have not gained headwinds on that direction. And I think as soon as we have some relief in the exchange rate and it’s not only the exchange rate – we have actually a double-dip situation in Brazil because we have exchange rate going – actually for exporters, but also we have increased this and cost in Brazil in reais. So it’s a double effect, so if we can – that affects not on the gross margin, the operating margin, but also the gross margin, but that goes straight to labor. So and I have to believe that Brazil, when they has to come back to more let’s say rational level as far as its cost, Brazil has become a very expensive country and too rapidly, too rapidly for the industry to respond. I think Embraer has been one of the few exceptions of let’s say non-primary growth, the non-commodities industry that has been resisting to this too rapid growth in the cost in Brazil. So assuming that this won’t be forever, cannot be forever. Then the country will start have other sort of problems. I mean yeah, I think it shouldn’t be more on the long-term. We should be thereafter as far as adding what we are doing to some relief in the variables which are outside of our control.
Nicolai Sebrell – Morgan Stanley: All right. That’s very helpful and congratulations.
Frederico Fleury Curado: Thank you.
Operator: Excuse me. Our next question comes from Mr. Joe Nadol from JPMorgan.
Joseph Nadol – JPMorgan: Good morning and congratulations on a good quarter. My first question, just to be very specific, that 22%-plus gross margin in the quarter, Fred, you think that’s sustainable? There’s nothing in there in terms of any mix benefit or any items and you feel comfortable that that level going forward, putting aside potential changes in currency – but, everything else aside, that’s a good level to think about going forward?
Frederico Fleury Curado: I think so. We are I think as far as costs, I am very comfortable with that. As far as pricing, at least in the visible horizon, we should be okay. We cannot just regarded the decrease in competition, potential competition from new entrance reached so far has been just few like a promise, but we never did regard that more mid, long-term. But I think if we are able to hold on the pricing side, on the cost side, which is we are comfortable.
Joseph Nadol – JPMorgan: Okay. And, then, you’re going to make a decision by the end of the year on your way forward on the commercial side. So, when we look at the research line in your income statement, you’re spending money right now that you’re expensing because you haven’t launched a program yet under IFRS. But, when you launch something, which you will do before next year, it sounds like, does that mean that line should improve next year – that expense should be down?
Frederico Fleury Curado: I expect some increase, not something which should be – let me clarify what I am saying. The reduction of guidance that we gave as far as development this year is not due to any reduction in activities, basically an advancement of contribution from partners, which we do not expect this year and it’s going to happen this year, which helps the whole the cash flow et cetera. So $210 million a year level, I mean it’s there. It’s there and I think there is a plan to increase that a little bit. There is of course the cost side of it, which is labor, but as we engage in a new program, we are already gained some material phase in the latter part of this. So we really start releasing engineering resources in a more meaningful way in 2012, ‘13 in which is that’s when the new programs start to pick up, whichever the program is. So there is a natural balance of our engineering resources, but given the size of what we are doing in the business, even also the KC-39, you cannot forget that although this is not expensed here because it’s fully paid by the contract. The resources are our people and they are the same – from the same pool of resources. So I think it’s fair to say that we should expect some increase in the development cost, research maybe a little bit. This is $100 million year. It’s should be relatively nice platform, I mean a reasonable level pre-competitive design. But – and I think this is about it. CapEx probably, I don’t know which will depend how much – how we develop the new program, but we are – this high capacity is a result of the, let’s say, of the postponement we did in the last two years. And Melbourne will be up and running by the end of this year. Portugal, Evora would be up and running first half of next year. So it depends what will be the CapEx for the new program. That’s probably I have a little bit less visibility at this stage, but research also relatively stable, development probably going a little bit up.
Joseph Nadol – JPMorgan: Okay. My thinking was actually that research might decline because my understanding is, once you’ve launched a new program, that a lot of what you’re expensing now, even though your overall cash expense goes up, that a lot of your income statement expense actually gets capitalized, and so that might actually improve. That’s not right? You would redirect dollars elsewhere that would keep that line relatively stable?
Frederico Fleury Curado: I’m not sure I fully understand, Joe. Let’s take two dimensions.
Joseph Nadol – JPMorgan: Okay.
Frederico Fleury Curado: Once that gross, in terms of gross resource and gross investments that tends to go up. Everything I told about–
Operator: Excuse me? (Technical Difficulty)
Operator: Excuse me our next question comes from Mr. Noah Poponak from Goldman Sachs.
Noah Poponak – Goldman Sachs: Hello.
Frederico Fleury Curado: Yes, we are here.
Noah Poponak – Goldman Sachs: Well, on the one hand your provider dropped a call, but on the other hand they have some pretty amazing hold music. So, it’s going to be a tough call going forward?
Frederico Fleury Curado: I think Joe’s question, while I answer that question that the shutdown a whole.
Noah Poponak – Goldman Sachs: Well, I wanted to pick backup on the next-gen product strategy. And just try to get a better sense for maybe sort of where you’re leaning and where you are not leaning. And on the re-engine issue, it kind of looks like proceeding in the range of 195, isn’t that much different than CSeries, and it’s substantially less expensive. And so it seem like if you’re able to get closed to matching the engine technology you’d be pre-competitive there. Is that how you are thinking about that? And one of you or what is your insight into the engine offerings being able to get smaller because I think you guys had the issue of win to ground clearance and does that help resolve that or what do we know about that at this point?
Frederico Fleury Curado: Okay, I know if you just allow me because we broke up as I spoke you for a few minutes before, realizing that I was speaking to no one. And I wasn’t – for Joe’s, Joe post the question about research. So if I may just to finalize the cost and I don’t even know if Joe is still on line or not, but the research I mean the developments what I talk about developments is that’s with a new program, the gross resource and development, I see some potential increase, not in that large now but some increase. As far as research and I think that was his question. If I understood correctly, his question was, with a new program being launched would – will we reduce the research – the level of research that spend today. And my question is probably not, this pre-competitive research is $90 million a year. I think it’s an order of magnitude plus or minus, but materially the same. I think this is what we need to really to keep in priority of leading edge of technology and to have a future. So, it’s net to debt program, is meant through position of the company in the long run. Now, to your question about 195 engine etcetera. Yeah, there is a couple of consideration, the 195 is today is an airplane, which size is close to the 190. It’s fundamentally exchange your trading a few more seats for some range and that’s what it is. We did some exercise in the past about passenger 195 FE [ph] and the result was not very compelling because then we know the engine is under power, the wind is through them all. And the airplane would lose performance and would not be a very let’s say competitive offering. Now if we think about passenger 195 but also we winning the 195 and in the process putting some larger I mean the new generation engines that could be larger – how much larger fan, that would depend a lots on the trade off of should we try to raise the airplane a little bit or not. We do have some potential to increase aside of the fan with existing attitude of the air fracture underground. If you re-wing aircraft then we can also play with aircraft then we can also play with the pylon and raise – the pylon to raise the engine a little bit and get a few more wings on the fan. So these are tradeoffs studies that are underway as we speak. But let’s say 195 larger than existing one today, with a proper level of thrush and with a larger wing. It’s an airplane that would be a size wise between the two CSeries 100 and 300 probably, I say new trend, depends on how much longer it is. And would be a very competitive offering in our point of view so this is one alternative. The other alternative would to read, try to go to a larger aircraft by having a very likely further brass [ph] configuration where we would have full freedom to define the size and the optimization of the aircrafts. At the end keeping either – keeping as a design driver a high degree of commonality with existing FS5 system architecture, cockpits configuration et cetera. So it is more or less – I’m not sure I fully answered your question but these are the process we are having now.
Noah Poponak – Goldman Sachs: Is it fair to say you are leaning towards re-engine over a clean sheet, just given both of the bigger guys are now coming down into that low end and narrow body market with a re-engineered craft, which makes it looks pretty crowded, but those are temporary solutions for them, so you’d still be able to do a clean sheet, further down the road once those are rolling off for building an airbus?
Frederico Fleury Curado: No I would not conclude that at all.
Noah Poponak – Goldman Sachs: Okay.
Frederico Fleury Curado: Both alternatives are pre-open for us. On the airbus side, it is more clear to us that this is just not an engineering solution, this is their strategy for some time.
Noah Poponak – Goldman Sachs: Okay.
Frederico Fleury Curado: And as we have no visibility y and exactly what is going to continue with the rate, we do not know. But I think we can go either way and have a competitive aircraft in the 319, 737, 700 CS300 area, and again there those two alternatives. I mean we’re fine tuning the analysis, but I would not clean towards at this stage and a rider. Noah Poponak – Goldman Sachs Okay, I understand. And there is one other thing I want to ask you today and then I’ll jump off and that is – I wonder if you think there is a disconnect between where some market observers think the 90 seat market is going in the medium to long-term and where you think it’s going because as we are out discussing Embraer with investors. We often hear concern that the world is getting bigger every airline wants larger aircraft, what’s the future of the 90C market and a lot of concern on that. And at the same time you have just absolutely incredible demand and actually demand for the 190 relative to current production is really stronger than any other aircraft in the world right now. So is there anything you can tell us to get folks more comfortable with the medium to long-term future of that market?
Frederico Fleury Curado: Yes. If that discussion was about the 50 seat market or even the 70 seat market, that could be an object of debate. 50 seat markets have been – was developed during – jet was developing a great sense due to the scope clauses and all that 70 seats also – its scope clause in then move towards some larger aircraft 85, 90 or something, yeah, that’s going to create some artificial demand. But 100 seat market has been around since World War II, I mean there is a market – there is a segment of the market which is there. And then the size varies the number, they know aircraft in that segment varies. Frankly speaking not many company reward successfully in making our return in that market 7 to 7100 for example the BC 9 was therefore many years, the Fokker 100, the B 80-100 and (indiscernible) after. Now so we do not believe that the entry level airplane in the airline market will be 150 seater. I mean we do not see that happening at all. So we do not think the larger portion of the market will be – honestly would probably towards I think the millions of the narrow body markets probably lean towards 175, 180, but there always be a market there, these were 100 seater segment. So we are leaders there now and we keeping vastly to stay there, the 190 is our great platform as far as is as far as huge amount, as far as it’s a modern airplane. So, yes of course 10 years from now the 190 would not look like 190 today, but I am absolutely confident the 190 will be there in 10 years from now, Embraer will be losing leasing its market. If the scope was moving upwards, that’s wonderful, then we have boom of demand for 100 seats, it is what we have today. So you imagine that the first smallest airplane out there is going to be larger 150 seater, it’s really – the assumption will have to be the network of the airline, we have strengthen this complete and thousands of markets we have to lose service, which I think is (inaudible). I don’t see that happening.
Noah Poponak – Goldman Sachs: That’s very helpful and apologize and to you and to others about disruptive to the Q&A there, but thanks for taking my questions.
Frederico Fleury Curado: Thank you and we apologize for this technical issue that we also hear, we don’t know what happened.
Noah Poponak – Goldman Sachs: Thanks.
Operator: (Operator Instructions). Excuse me. This concludes today’s question-and-answer session. I would like to invite Mr. Curado to proceed with his closing statements. Please go ahead, sir.
Frederico Fleury Curado: Thank you all for being with us. Sorry, again for this technical disconnection I have no idea what happened, but good quarter and we keep working hard to keep delivering on our result. So, thank you very much. Have a great weekend all.
Operator: That does conclude Embraer’s audio conference today. Thank you very much for your participation, have a good day and thank you for Chorus call.